Operator: Good afternoon, my name is Jason and I will be our conference facilitator today.  At this time, I would like to welcome everyone to the Micron Technology Conference Call.  All lines have been placed on mute to prevent any background noise.  After the speaker’s remarks, there will be question and answer period.  If you would like to ask a question during this time, please press “*” followed by “1” on your telephone keypad.  If you would like to withdraw your question please press the “#” key.  It is now my pleasure to turn the floor over to your host Mr. Kipp Bedard.  Kipp, you may begin.
Kipp Bedard: Thank you very much.  I would like to welcome everyone to Micron Technology’s First Quarter Fiscal Year 2006 Financial Release Conference Call.  On the call today are, Mr. Steve Appleton, Chairman and CEO and President, Mr. Bill Stover, Vice President of Finance and Chief Financial Officer and Mr. Mike Sadler, Vice President of World Wide Sales.  This conference call including audio and slides are available on Micron’s home page on the Internet at micron.com.  If you have not had an opportunity to review first quarter 2006 financial press release, it is available again on our website at micron.com. Our call will be approximately 60 minutes in length; there will be a taped audio replay of this call available later this evening at 5.30 PM Mountain Standard Time.  You can dial-in to that by punching 973-341-3080 using a confirmation code of 6813208.  This replay will run through Wednesday December 28, 2005 at 5.30 PM Mountain Standard Time.  A webcast replay will be available on the company’s website until December 21, 2006. We encourage you to monitor our website at micron.com throughout the quarter, for the most current information on the company including information on the various financial conferences that we will be attending.  During the course of this call, we may make projections or other forward-looking statements regarding future events for the future financial performance of the company in the industry.  We wish to caution you that such statements are predications and at the actual events or results may differ materially.  We refer you to the documents the company filed on a consolidated basis from time to time with the Securities and Exchange Commission specifically the company’s most recent Form 10-K and Form10-Q.  These documents contain unidentified important factors that could cause the actual results for the company on a consolidated basis to differ materially from those contained in our projections or forward-looking statements.  These certain factors can be found on the company’s website although we believe that the expectations reflected in the forward-looking statements are reasonable we cannot guarantee future results, levels of activity, performance or achievements.  We are under no duty to update any of the forward-looking statements after the date of the presentation to confirm these statements to actual results.  With that I’d like to turn the call over to Mr. Bill Stover.
Wilbur G. Stover: Thanks Kipp.  For our first quarter, net sales totaled $1.36 billion, and the company recorded net income of 63 million or $0.09 per diluted share.  The diluted earnings per share calculation is based on 707 million shares, that’s inclusive of 54 million shares underlying our convertible debt.  It should be evident from this level of net income that our diversification efforts are progressing meaningfully.  These financials do not include any results of IM Flash Technologies, our joint venture with Intel which will begin operations in January. Let me take a few moments to talk about how IM Flash Technologies will impact our financials.  First, our joined analysis with Intel confirmed that the venture will appropriately be consolidated in Micron’s financials.  Beginning in the few weeks, our results will reflect consolidation of the joint ventures manufactures NAND flash memory.  Remembering that both Micron and Intel will take approximately half of the output, the net sales line will pickup the NAND production sold to Intel at manufacturing cost, and the net sales line will pickup the other half of the production as it is sold by market, by Micron at market prices. Cost-to-goods sold will reflect the cost manufacturing NAND devices.  The partnering with Intel recognize as a significant value in the investments Micron has been making in research and development.  Fundamentals of the partnership is a sale of process technology designed and know how for in excess of $200 million.  The technology sale is expected to be recognized as again reflected in other operating income.  On an ongoing basis, our consolidated research and development expenditures will be reduced by approximately $25 million per quarter, as a result of the cost sharing with Intel.  The sale of technology to Intel and the anticipated $250 million prepaid from Apple will boost through our consolidated cash and investments position by approximately $500 million in January. With formation of the venture, Micron’s consolidated capital expenditures will rise to approximately 2 billion.  Approximately $500 million increase for fiscal year ’06 over the number, which we’ve previously communicated.  Overall, net sales were up 8% over the immediately preceding quarter.  Gross margin, for the quarter came in at 23%.  The slight increase in gross margin percentage is quite impressive actually giving a price pressure and commodity PC DRAMs and as a testament to the benefits being derived from our diversification efforts.  Gross margin on tech semiconductor products was slightly higher than the overall reported gross margin for the first quarter. Research and development expense for the first quarter was $166 million, slightly higher than the fiscal 2005 run rate.  A benefit of our partnering in NAND flash will be the sharing of certain R&D cost.  We expect the run rate for consolidate R&D expense to reduce by approximately $100 million per year through our partnering arrangement.  As always future R&D expenses will vary significantly with a number of wafers, dedicated new device development and qualification. Selling, general and administrative expenses stayed in the $85 million to $90 million band through fiscal 2005.  We expect the quarter run rate in 2006 with a consolidation of IM Flash Technologies to be between 95 million and 100 million. For the last three years, we’ve had continued improvement in cash flow provided by operation.  The overall improvement reflects our successful diversification into specialty DRAM and CMOS image sensors.  The first quarters operating cash flow reached in excess of 425 million, in part benefiting from successful reductions in inventory levels, our finished goods inventory decreased by 22% quarter-over-quarter.  As of first quarter end, Micron had cash investments balances approximating $1.4 billon.  Total debt declined to 1.1 billion and call protection on our $632 million convertible notes expires on February 2006.  The notes due in 2010 are convertible into common stock at conversion price of $11.79 per share. One other item, this quarter is the first period reflecting stock option expense under statement of Financial Accounting Standards 123(NYSE:R).  The total period expense was $3.8 million.  With that, I’ll turn the commentary over to Mike.
Michael W. Sadler: Thanks Bill.  We continued to be pleased with the robust demand environment in the mobile communications, consumer electronics and computing markets.  These markets account for the vast majority of demand from Micron Semiconductor-Memory and imaging products.  As evidence, by the quarter-over-quarter, 11% megabit sales increase and corresponding finished goods inventory reduction as referenced by Bill.  The markets are healthy and easily absorbing the output from our production facilities. Micron remains focused on achieving an optimal balance of business in the key end markets.  We’ve had another quarter of solid execution towards achievements of that objective.  While we have significant revenue exposure in the world’s largest market for semiconductors, computers we believe that more rapid growth in communications consumer and industrial markets will drive more value. With this in mind, we continue to add to a product portfolio that strengthens Micron’s value proposition to customers in all of these market segments.  While that computer market demand is solid from both unit growth and memory content standpoints, the industry has grown DRAM supplies such that price pressure on commodity chips used by notebook and desktop PCs has intensified during the quarter.  Micron is not immune to this price pressure.  We believe however, that supply and demand will ultimately find a balance.  We expect that our ability to reduce cost to yield improvement and technology advancement will track market price decline. Well, we are not expanding share in the notebook, desktop area.  These segments are and will continue to be significant demand drive principle for the industry and for Micron.  In the computing arena, we are focused on being early to market with high density chips and modules.  Good execution is driving more segment share and workstation in server applications.  Our 1 gigabit and 2 gigabit DDR and DDR2 components and the 2, 4 and 8 gigabyte modules that they enable are current examples of solutions that create value for Micron and our customers.  The competitive playing field in the high reliability, high density memory area is not fully dependent on selling price per bit.  With a focus on timed market and technical collaboration, we are able to create more high-end computing business from Micron DRAMs.  This shield us somewhat from the severe price competition that results from an over supply commodity DRAM market. Mobile phone terminals are among the most exciting applications from Micron and we now have four product categories targeting this space including image sensors, CellularRAM, mobile DRAM and both embedded and external NAND flash.  To put it simply the market here is growing, we are growing share with existing products and we are introducing new products that are capturing new design wins for us. Memory content in mobile phones expanding more rapidly than in, any other high-volume electronic product, NAND flash, CellularRAM and low power DRAM products play a critical role in the memory sub system.  The sweet-spot memory solution in a high end phone today, is a multi-chip packaged product, built with 256 megabit NOR chip plus the 64 megabit CellularRAM.  This is slowly transitioning to 512 Meg NOR plus 128 CellularRAM or lower power DRAM.  As we move through 2006, we believe the market will begin to shift to MTPs that was 1 gigabit NAND chips and 256 megabit or 512 megabit low power DRAMs.  We currently play a key role in the mobile phone market with our family of CellularRAM and low power DRAM products.  Our hope is that this becomes a commanding role with both the NAND and DRAM pieces in play. Our recently announced NAND flash manufacturing venture with Intel will help us achieve scale and improves time-to-market with NAND devices for the cell phone market.  With our product line up, technology and infrastructure we couldn’t be more pleased with our position in the cell phone memory eco system.  I think by now, you are aware of Micron’s position, to top the CMOS Image Sensor market.  While, camera penetration rates are approaching 60% worldwide, we are continuing to outgrow the market and had now even captured multiple design wins, in the Japanese market, the last frontier for CCD sensors.  We are introducing cost-reduced versions of VGA and 1-Megapixel sensors as well as new 2 and 3-Megapixel sensors for high resolutions mobile phone cameras. Our current mix of revenues in the camera phone space is approximately 1.5 VGA and 1.5, 1-Megapixel and above.  The VGA sensors are having a longer and well-anticipated life, as camera penetration reaches the low end and many phones now even feature dual cameras.  We were expecting that market demand for our sensors might temper somewhat seasonally but this is proving not to be the case.  We are moving some memory production within the Micron’s fab networks to create even more and near-term imaging capacity to seize the market opportunity. Camera-enabled mobile phones have been a primary driver of revenues for CMOS Imagers and this will continue to be the case as we move forward.  While not the most significant revenue generators today, we are devoting a number of product development and field resources to other promising markets in the imaging area.  Some examples would be consumer items like digital still cameras, PC cameras and medical and automotive applications.  Each of these product areas is of interest not only from the imaging perspective, as we also the have capability of providing application-specific memory devices into these markets for a common customer and application base. Our strategy of developing a diverse set of some semiconductor-memory and imaging products; it’s clearly paying financial dividends.  From our perspective, the real value is coming from strengthening and broadening customer relationships, these relationships have created a solid foundation from which to build upon.  Thanks for your continued interest and support in the company and I’ll turn it back to Kipp.
Kipp Bedard: Thank you Mike.  Right now, we’d like to go ahead and take questions from callers.  Just a reminder, if you are using a speakerphone, please pickup the handset, when asking a question, so we can hear you clearly. With that, we’d like to open up the lines to questions.